Operator: Welcome to Masonite 2015 First Quarter Earnings Conference Call. During the presentation, all participants will be in a listen-only mode. After management's prepared remarks, investors are invited to participate in a question-and-answer session. This conference call is being recorded. The replay may be accessed until May 19. To access the replay please dial (877) 660-6853 in the U.S. or (201) 612-7415 outside the U.S. Enter the conference ID 13606757. I will now introduce Joanne Freiberger, Masonite's Vice President and Treasurer. Please go ahead.
Joanne Freiberger: Thank you, Christine. And good morning, everyone. I'm joined in our Tampa office today by Fred Lynch; our President and Chief Executive Officer; and Mark Erceg; our Executive Vice President and Chief Financial Officer. The information for the webcast presentation that will accompany today's call is available on our website at www.masonite.com under the heading Investors. The earnings release and the presentations made by our executives include forward looking statements that are based on the beliefs of the management team regarding the results of operations of the company, as well as industry and macroeconomic conditions. These beliefs and the related forward looking statements are subject to risks and uncertainties, which are described in greater detail in item 1A of our annual report on form 10-K, which is available on the investors tab of our website. Actual results may vary materially from those described in the forward looking statements. Our management uses adjusted EBITDA to measure our operating performance. Accordingly, we supplement our GAAP reporting with the non-GAAP financial measure of adjusted EBITDA. Our definition of adjusted EBITDA and our reconciliation to the GAAP measure of net income is provided in the appendix of today's presentation, which can also be found on our website. On today's call, Fred will begin with a company and industry update, next Mark will provide a financial review of the first quarter results, after which Fred will summarize our prepared remark before opening the call up to a question-and-answer session. And with that, I'll turn the call over to Fred.
Fred Lynch: Thanks, Joanne. Good morning and welcome everyone. Growth in both U.S. single family housing starts and completions was relatively modest during the first quarter of 2015 despite a favourable base period comparison. Specifically, U.S. single family housing starts average 636,000 units during the first quarter of 2015 versus 602,000 units last year, which is an increase of 5.6%. Meanwhile, U.S. single family completion advanced by 1.8% from an average of 613,000 units last year to 624,000 units this year. And the ratio of single family starts versus multifamily starts remains slightly below its historic of 72% with the first quarter 2015 single family, multifamily mix of 67% and 33% respectively. Now, while we would have liked to have seen stronger unit growth volume during the first quarter, we remain optimistic about the long-term prospects for the U.S. housing market and believe that our balance approach positions us well for the future. As you can see on Slide 5, doors sold to our North American wholesale customers, which are closely aligned with the new housing market, increased approximately 7% during the first quarter of 2015, which significantly exceeded the 1.8% increase in U.S. housing completions during that same period. Doors sold to retail customers were more closely aligned to the repair, renovation, or remodelling market were essentially flat when compared to last year. We believe that lower growth reflects contracting remodelling activity of the distressed properties, particularly in the West Coast, slower activity in Canada, as well as reduced retail promotional events relative to the first quarter of 2014. Architectural door sales were also flat during the quarter, which is not surprising given a long lead time, typically 12 to 24 months, between a commercial start and the installation of the door package. That said, architectural door quoting activity in our business continues to improve and was up roughly 15% on a sequential basis during the first quarter of 2015. As such, we are confident that architectural door unit shipments will begin to accelerate during the back half of 2015 and into 2016. Turning to Slide 6, you'll see that the North American average unit price continues to improve and reflects the strengthening value proposition supported by our ongoing focus and investments in product-line leadership, electronic enablement and sales and marketing excellence. Behind this balanced approach, our North American average unit price has now increased for eight consecutive quarters. While positive changes in North American average unit price helped us grow the top and bottom line during the quarter, foreign exchange was once again a significant headwind. Negative foreign exchange reduced first quarter 2015 net sales by 5% with sizeable reduction in the North American, primarily Canada, and Europe and rest of the world segments. In addition to lowering net sales, foreign exchange also had a meaningful impact on the first quarter 2015 adjusted EBITDA, which was negatively affected by 6%. Now, within the Europe, rest of world segment there are also few things we should comment on because it might not be readily apparent. First, while total segment unit volume was down almost 5%, the UK continued its strong run with unit volume up 7% behind the Door-Stop acquisition, which continued to perform well and has a considerable higher average unit price than the legacy business in the UK, and also favourable macroeconomic conditions. On the other hand unit volumes in France declined by 17% in large part due to the ongoing decline in the French construction market, as well as our decision to increase prices considerably for certain low margin architectural products, which reduce unit demand. Second, in addition to the strength in the UK, our decision to exit the Israel business in 2014 contributed roughly $1.9 million to the adjusted EBITDA growth in the segment, which in total nearly tripled from $3 million to $8.8 million. So while there are always areas of strength and weakness in a given quarter, overall, we are very pleased with the results we have achieved in the face of modest unit volume growth. And despite a significant foreign exchange headwind, we grew adjusted EBITDA by 92% in the first quarter of 2015 versus 2014. Turning to Slide 7, as the North American market recovers, Masonite will continue to emphasize five strategic growth areas: product-line leadership, electronic enablement, sales and marketing excellence, automation, and portfolio optimization. These five areas taking collectively are designed to ensure that we offer the broadest selection and highest quality doors with the best service to our channel partners and customers. As further evidence that we are moving in the right direction, we were recently informed that we will gain additional business at Lowe's, following their 2014 product line review. Now, because of the timing of the decision and proposed transition schedule, we do not expect any significant impact for our 2015 financial results. However, we do expect over $40 million of incremental annualized business on a going forward basis, which represents roughly half the revenue lost following the 2012 doors line review. Importantly, in communicating this decision, the customer reinforced that our service performance, commitment to innovation, brand strength and strategic growth focus were instrumental in expanding our position while also justifying an additional price increase as part of this line review. Before turning the call over to Mark to review our financial results, I would like to take this opportunity to thank Mark for his last five years of service at Masonite. During that period, Mark was instrumental in raising financing to support our acquisition activity, taking the company public, improving our finance and accounting capabilities and building a strong balance of confident employees within its function. Mark, on behalf of the entire team at Masonite, we wish you all the best at Canadian Pacific Railway. They are very fortunate to have as you as their new CFO.
Mark Erceg: Thanks, Fred, for the kind words. Masonite is a great company with great people doing great things. And while I'm very excited about my new role, I miss being part of the Masonite story going forward. 2015 first quarter volume increased from 7.8 million to 8.1 million doors, which represented an increase of 3.8%. Net sales growth, as reported, was 2.8%. But as Fred indicated earlier, we did encounter a sizeable foreign exchange headwind during the quarter, and on a constant currency basis net sales were up 7.8%. Despite relatively modest unit volume growth and strong foreign exchange headwinds, we were able to post very strong adjusted EBITDA when compared to the first quarter of 2014. Specifically, adjusted EBITDA increased from $19.7 million to $37.8 million or 92%, primarily due to the purposeful pricing actions we have taken to ensure we receive a fair value for our high quality products and services. On Slide 10, we present a summary income statement of our 2015 first quarter results. Beyond the net sales and adjusted EBITDA numbers already cited, gross profit increased almost 40% to $73.3 million or 16.9% of net sales, an increase of 440 basis points versus year ago. SG&A declined 30 basis points as a percent of net sales as we continue to focus on tight cost control. The combination of higher gross profit and lower SG&A as a percent of net sales resulted in a 400 basis point expansion in our adjusted EBITDA margin from 4.7% last year to 8.7% this year. Turning to Slide 11, we examine the change in net sales and adjusted EBITDA for each of our three reportable business segments and the primary drivers of the year-over-year changes. Net sales in our North America segment increased 6.9% or $21.6 million. This increase was driven by higher unit volumes, which added $11.5 million and an $18.5 million increase in average unit price. Higher average unit prices were also the main driver behind the $13.6 million increase in North America's first quarter adjusted EBITDA, which was up 85% year-over-year from $16 million last year to $29.6 million this year. Net sales in our Europe, Asia and Latin America segment decreased 7.8% or $7.4 million, compared to the first quarter of 2014. However, excluding foreign exchange, net sales were increased by $3.6 million. Adjusted EBITDA increased to $5.8 million versus the first quarter of 2014 behind Door-Stop, which was acquired in February, 2014, strength in UK housing market and the year-over-year benefit realized from our prior decision to exit Israel. Net sales in our South African segment decreased 16.3% or $2.2 million, due primarily to lower volumes, lower average unit price and the continued decline of the rand versus the U.S. dollar. Excluding the decline in the value of the rand, net sales would have decreased only $1.2 million or 8.9%. Adjusted EBITDA decreased $1.3 million, compared to the first quarter of 2014. And we should mention that we did not receive or book any additional partial payments against our outstanding business interruption insurance claim during the first quarter of 2015. Given the sizeable impact, negative foreign exchange had on the quarter, we thought it might be helpful to provide some additional perspective. As you can see on Slide 12, foreign exchange has had a pronounced impact on our business over the past few years. In fact, since the beginning of 2012, net sales have been negatively impacted by approximately $100 million on a cumulative basis with a $20.9 million headwind, encountered during the first quarter of 2015, representing the biggest challenge to date. Nevertheless, and despite this persistent erosion in reported top-line net sales, Slide 13 shows the impressive year-over-year growth we have posted in quarterly adjusted EBITDA for the last four quarters, up 32% in Q2 2014, up 25% in Q3 2014, up 112% in Q4 2014, and up 92% in Q1 of 2015. Moreover, our trailing 12-month adjusted EBITDA at the end of the first quarter of 2015 was $155 million, a 56% increase over the comparable 12-month base period. Turning to liquidity, cash flow and balance sheet metrics. Our recent financing actions had a substantial positive impact on our capital structure. In March, 2015, we replaced $500 million of senior unsecured 2021 notes with a coupon of 8.25% with $475 million of senior unsecured 2023 notes with a coupon of 5.625%. The lower coupon and lower aggregate bond balance should reduce our annual cash interest expense by approximately $14.50 million. After the bond refinancing, total available liquidity at March 29, 2015, including unrestricted cash and undrawn ABL in an account receivable purchase agreement totalled $225.7 million or 12.2% of Masonite's trailing 12-month net sales. Total debt and net debt to trailing 12-month adjusted EBITDA stood at 3.1 and 2.5 times respectively. Our trailing 12-month adjusted EBITDA interest covered ratio was 3.6 times and our trailing 12-month fixed charge covered ratio was 2.4 times. Subsequent to the end of the quarter, we also increased the size of the ABL from $125 million to $150 million, lowered the interest rate on the ABL by 75 basis points across the grid and extended the maturity date by four years to 2020 all of which helped to insure that Masonite had adequate liquidity to pursue our strategic objectives going forward. And with that, I'll now turn the call back to Fred to summarize today's discussion.
Fred Lynch: Thanks you, Mark. So the U.S. new housing market continues to improve, but the pace remains uneven. And while there as some positive changes and signs emerging in the non-residential market, we expect only modest unit volume growth throughout 2015. That said, modest unit volume growth of 4% and a strong foreign exchange headwind did not prevent Masonite from delivering very strong first quarter results. Net sales excluding foreign exchange increased 8%, while adjusted EBITDA nearly doubled from the year ago period behind a 400 basis point increase in adjusted EBITDA margin to 8.7%. By offering the best and broader product line of high quality doors, electronically enabling multiple steps in the value chain, excelling in sales and in marketing, and automating the process of door production, we believe we are creating a strong value proposition that our customers and channel partners recognize and appreciate. As we watch the strategic initiatives that we have been working on the past several years really start to take hold, we are increasingly excited about Masonite's future. As such, I'd like to take a moment to express our gratitude to the various stakeholders that are making this journey possible, namely, our customers for their loyalty towards our high quality products and services, our employees for their tireless dedication and commitment, our suppliers for their ongoing collaboration and, of course, you, our investors for your continued trust and support. We believe that by working together we make Masonite the best provider of building products in the eyes of our customers, employees, shareholders, suppliers and communities. Now, before we move to Q&A, let me take a moment to remind everyone that Masonite will be holding an Investor Day at the New York Stock Exchange on June 19 and we hope to see all of you there. And so with that, I now turn the call back to the operator to open the line for questions.
Operator: Thank you, Mr. Lynch. [Operator Instructions]. Our first question comes from the line of Robert Wetenhall with RBC. Please proceed with your question.
Anna Pillai: Hi, this is actually Anna Pillai on for Bob. Thank you for taking my questions. Just firstly, I'm wondering if you could update us on the wholesale pricing action from last quarter and the extent to which you're successfully realizing the net benefits that you had been expecting when you initially disclosed the increase.
Fred Lynch: Yes. The -- this is Fred. The price increase went into effect in March, as we had discussed. And from all intents n purposes, it's going as anticipated.
Mark Erceg: Yes. We had indicated the last time through that starting with the second quarter we would see a net benefit of roughly $5 million per quarter; we still expect that to be the case.
Anna Pillai: Great. Thank you. That's helpful. And then wondering if you could update us on any kind of inflation you're seeing on the commodity side, if any? And where you're expecting the cost to trend this year?
Fred Lynch: Yes. I'd say from a material perspective we're seeing a pretty benign environment, not unexpected with what we're seeing with the impact of oil and lumber in general. Of course, on the people side of the equation, we are actually seeing obviously a tightening labor force; we're seeing higher labor cost associated with that. So overall, we think the combination of those two offset each other and it will be relatively benign environment throughout the year.
Mark Erceg: That said, we think overall there would be about $10 million of net inflationary effects relative to 2014. As Fred said, most of that is coming from the labor SG&A side.
Anna Pillai: Got it. Thank you.
Operator: Our next question come from the line of Mike Wood with Macquarie. Please proceed with your question.
Mike Wood: Hi. Thanks for taking my question. Mark, best wishes on your new role. Wonder if you could just give a comment on how much you think the 7% increase in wholesale channel volumes was pre-buy ahead of that price increase? And any thoughts you have on the inventory at the wholesale channel or retail?
Fred Lynch: Yes. So I would say we definitely -- we always anticipate we get some pre-buy in the -- as result of our price increases. Unlike other markets or other products, our products are relatively bulky. So from an inventorying perspective it's not easy for our customers to inventory multiple weeks of products, but it’s not unexpected to have a couple of weeks of product being moved forward as a result of price increase.
Mark Erceg: And as far as the trade channel is concerned, since the financial crisis, most -- every distributor and channel partner has done a much better job managing working capital, so we don’t tend to believe if there is a lot of product out in the marketplace at any given point in time.
Mike Wood: And then, from a currency perspective, can you speak to how you’re positioned versus competitors with matching production sales, if there’s any actions you could take such as pricing to offset some of the currency impact longer-term?
Mark Erceg: Yes. I mean, I can only speak to our footprint. And the one that we talked about last quarter is the fact that we do have a sizeable operational base in Canada, and a very nice business up in Canada as well. Because we are so deeply vertically integrated, we do tend to have items that are dollar denominated moving up in to Canada, going to the production facilities, and then obviously a goodly portion of that have been sold in Canadian dollars. I think when I checked this morning, the Canadian dollar is at $0.83, so that’s the biggest effect you’re seeing. And then when we talked about that $20.9 million FX headwind, a good portion of that came to the North American segment, and so it is something that we are contending with. Last quarter we talked about the fact that we thought there will be a $5 million impact on the EBITDA during the course of 2015. And I think in the first quarter, we saw about a $2 million drag because of FX specifically. So we still got $5 million number, may be about the right sizing.
Fred Lynch: Now, to the point that we did take price increased in Canada along with the other price increases we discussed in North America in March.
Mark Erceg: We haven’t taken any hedges in place. Frankly, we think those are a little bit misplaced in that all they do is defer the realization of the ultimate economic impact. Most of the time, because we do operate globally, we haven’t had that much of an effect on the bottom line even though as we talk, the cumulative effect has been fairly sizable on the top line. So we don’t plan to enter into any transactions on the financial side in order to mitigate that; we plan to ride it through at this point.
Fred Lynch: I think, lastly, it’s important to note that the price increases we took in Canada were both in all segments.
Operator: Our next question comes from the line of Trey Grooms with Stephens. Please proceed with your question.
Blake Hirschman: Yes, good morning. This is actually Blake on for Trey. First question is I was curious to get your thoughts on any notable pockets of strength and weakness geographically in the U.S. by end-market?
Fred Lynch: Yes. I’d say that we did have some effect, winter effects clearly in the first quarter and I think most people are aware of where we saw that in different parts of the country. I’d say that the only ever thing that would probably a little bit unusual that we mentioned in the script earlier or I won’t say unusual, but different than we’ve seen in the past is we did tend to see a slowing of repair, renovation and remodeling, particularly in the West Coast. We believe that many of the distressed homes have now kind of exited the market, have been repaired and, as a result of that, on a year-over-year basis, there is a slightly lower sales than one would have otherwise anticipated going into that space. We think it’s kind of come to an equilibrium at this point in time.
Blake Hirschman: And then one more. Any update on capital allocation and your use of cash? And then, on the M&A pipeline, both domestic and abroad? And then, congrats, Fred, on your new position -- Mark, sorry.
Fred Lynch: I didn’t know I had a new one but thank you.
Mark Erceg: I'll take the --
Fred Lynch: It's only Mark. Just to be clear, only Mark is leaving.
Mark Erceg: I’ll take the first portion of that. As far as use of cash, we’ve been very consistent. Our first use of cash is to support the base business. We have some trade working capital that’s required at this point. I think we close the quarter with net trade working capital around 14.2% of net sales. That was down from 14.4% as of march last year. So continue to do better in that regard. But as we grow out the business, we obviously need to support that growth. We also talk about CapEx being an item that will require certain cash elements. Last quarter, we talked about the fact we saw because of the ERP system we’re putting in, that we would probably be spending somewhere between $60 million to $65 million of CapEx. As we sit here today, we might be a little bit more towards the higher end of that range, but it’s still early days and so we’ll see. After supporting the base business growth through working capital and supporting the infrastructure need through CapEx, what we would tell you is that at that point, we then typically defer to our strategic tuck-in acquisitions. We have affected 13 of those since 2010. We’ve done a good evaluation and integrated those nicely and strengthened the business as a result. From that point on, look, we don’t really believe a special dividend or recurring dividend make sense at this point in our history. We have been listed now in NYSE since September 9, 2013. I guess it’s possible at some point we could entertain some type of a share buyback, but we haven’t got to that point yet. We haven’t asked the board for that, and have no plans to ask the board for that authorization.
Operator: Our next question comes from the line of Al Kaschalk with Wedbush Securities. Please proceed with your question.
Al Kaschalk: Congratulations, Mark. We'll certainly miss working with you. Fred, in terms of the volume, maybe just wanted to tease out a little bit further. Your comment was obviously about the relationship to housing completions, a little bit of the pre-buy. But I’m just trying to understand given where we’re at with the market conditions, it seemed like the number was a little bit higher than expected. And with the comment that repair and remodels from the distressed home buying sort of in equilibrium, how should we think about the calibration of volume, going forward, from what you’re seeing on your end?
Fred Lynch: Listen, I think as we look through the rest of the year, we believe that we’ll trend to track with the market growth in the new housing industry. It will be lumpy with price increases and the fact that inventory moved in and out of the channels and we’ve always seen it to be lumpy. But over the long-term, we believe we’ll move in tandem with the market. And we believe -- and so to the extent that anyone has a crystal ball and understands what new housing starts will be this year, we think we’ll be right along with that. On the retail side, we came in and we believe that what we’re seeing and hearing is that load of mid single-digit kind of growth in the retail channel. And again, we would anticipate that we would move in, again, in tandem with that throughout the rest of 2015, and then recognize that we have a slightly higher jump as move into 2016 as result of the recent new business win at Lowe's.
Al Kaschalk: And then just a follow-on on the Europe side, I realize there aren’t many crystal balls out there, but are we at a spot, or is the company at a spot, particularly on the France side, which has been the drag, major drag to be an understatement, are we under there -- are we finally underneath that in terms of its drag on overall results, or is it still tough to challenge that? And then, longer-term, is there any further implications for doing business there given the nature of that market?
Fred Lynch: Yes. So I would say we consider we’re disappointed by the overall macroeconomics in France. When you look at what the UK has done to revitalize their housing market through regulatory practices and government incentives, they’ve done a nice job, and we’re benefitting from that. And I think the economy in the UK is benefitting from that. We have a very different situation in France where there has been really stagnation around getting construction back underway. And quite frankly, I think going into this year there was a belief that the French construction market would start to improve. We haven’t seen that. If anything, we’ve sat and talked to our French counterparts and our French customers; they’re not seeing anything really changing through rest of this year. So what we’re doing is we’re taking actions to continue to downsize our business. As we mentioned on the call earlier in the script, in some cases we look at certain impossible product lines and we decided that we will take prices up and to the extent that we could, we would reduce volume and demand. As part of that activity, we announce that we were closing a facility over in France and that process is continuous to the underway. We made some changes that you’ll see through our restructuring charges that we took in the quarter to reduce the cost of running our businesses is overall in Europe. And so from right now, we’ll continue to manage the business as effectively as we can and making the tough choices. It’s a longer process; it’s a tougher process in France than it is in other parts of the world because of the social norms there. But we recognize that that’s our obligation and job to do that, and we’ll continue to make that happen.
Al Kaschalk: Let me sneak one more in. On the favorable announcement on Lowe's, could you comment whether that was consistent with your expectations in terms of the run rate revenue in 2016, or how did that come out relative to your anticipation?
Fred Lynch: Well, I think, clearly, the win is additive to what we have today. I don’t think we’ve given any indication of run rates or guidance for 2016. So that would be something that you would have to take him to your model account, but it would be additive to the business that we have today.
Operator: Our next question comes from the line of Alex Rygiel with FBR Capital Markets
Alex Rygiel: First, on the Lowe's market share win, exactly how should we think about the shipments into Lowe's throughout the remainder of 2015? I understand the majority of it’s going to be in 2016, but obviously that’s going to start to ship in 2015. Also, as it relates to the retail price increase, what’s the timing of that?
Mark Erceg: So with respect to the timing of the volume, we’ll start to make the transition as we get into the fourth quarter. That transition is a combination of moving product into the stores, pulling products out of the stores. So we try to see that -- we basically see that first quarter as kind of a wash with any respect to the financial impact on the business. So you should assume that all of the impact will come in 2015 at this point in time. And then with respect to -- as I said earlier, for the business in the line review, we did increase prices, and those prices are effective today.
Alex Rygiel: And secondly, could you expand a little bit upon some of your new product development efforts and the acceptance rate of some of those new products in the market?
Fred Lynch: Yes. So we’ve been very excited about -- really, we have a couple of major launches this year. One is the Heritage series, which is the shaker product. It’s an interior door product. The three-panel and the one-panel are already out on the marketplace. Happy to say that we’re actually increasing capacity on those products, because initial demand is exceeding our expectation. So that’s a good thing. The launch of our VistaGrande product line, which is the entry door fiberglass product line that has a -- what we call it a flush-glazed product line, which has a wider viewing area and a stile and rail construction. That launch is set for June for the U.S. and July for Canada. And so we’re gearing up and preparing to bring those products to market in the weeks ahead. So we’re again looking forward to the sales of those as well because we're getting great customer reception, particularly, on the stile of those products.
Operator: [Operator Instructions]. Our next question comes from the line of Jim Barrett with C.L. King. Please proceed with your question.
Jim Barrett: I also had a few questions on the Lowe's win. Fred, could you tell us, first of all, whether that was geographic and whether it was in interior or exterior doors, or both?
Fred Lynch: Yes. So it’s in both. And from a geography perspective, at this point in time, we’ve agreed with the customer that we wouldn’t discuss the geographies publicly until we actually went to the execution and planning process.
Jim Barrett: And does Home Depot have line reviews coming up this summer?
Fred Lynch: Listen, line reviews -- this was a big lines review at Lowe's, because it was a national line review and covering all the stores. There is a regular process of line reviews that is continuously underway with our customers. They can be very, very small, a handful of stores, a portion of a market, and so it’s something that’s continuous. We like to really talk about the ones when we see something big like the national one, I think we’ll bring that up and discuss it because it’s on a such a large scale. But this is a part of the normal business that we’ll continue to see them over time. We don’t anticipate at this point any major national line reviews at this point for 2015.
Jim Barrett: And then, if we move over to Europe, in France your decision to take pricing up on unprofitable lines, has your competition also raised prices concurrently?
Fred Lynch: Yes. I would say that is a business, the architectural business where it’s a big business. So we're not -- you'd have to ask the competition what their plans are.
Jim Barrett: And then finally, now that you’re anniversarying Door-Stop in the UK, at level exchange rates, what sort of growth expectations would you have for that overall market?
Mark Erceg: The Door-Stop did very well for us in the quarter. In the past, I've shared some numbers and let me do the same thing here. So for Q1 ‘15 we had net sales of roughly $12 million for Door-Stop and adjusted EBITDA of roughly $2.1 million. And on year-over-year basis, that meant that about $7 million of sales growth and about $1.1 million of EBITDA growth was due to Door-Stop specially. Door-Stop has been growing at strong double-digit rates on the top line and has been able to maintain very strong margins and cash generative abilities on the bottom line. We don’t see anything that’s slowing that down. We actually have some product introductions that are taking place that we’re very excited about. So we continue to see that business moving ahead nicely. And as Fred indicated, as far as our legacy business is concerned, which is principally on the interior door side, the UK housing market right now actually has been performing fairly well for us. So we’d expect to see -- the UK overall being a pocket of strength for us in the Europe, rest of the world segment.
Operator: Our next question is a follow up question from Alex Rygiel with FBR. Please proceed with your question.
Alex Rygiel: As it relates to Africa, are we back to full capacity there? And should we see a seasonal uptick in sales and EBITDA in 2Q and beyond?
Mark Erceg: Yes. We’re continuing to remediate the business profile since the incident that did occur. We made the comment that there was no BI recovery in the first quarter numbers that we posted. Subsequent to the quarter, we did receive an additional payment that that’s a little over US$1 million as we relate to that. The mill, I would not tell you at this point, is running at full capacity. We’re still trying to restore the site as far as the customer interaction is concerned. The physical site itself has been restored, but there has been a little bit share loss to that process and that’s what we’re working to recover.
Operator: Mr. Lynch, we have no further questions at this time. I would now like to turn the floor back over to you.
A - Fred Lynch: Well, thank you, Christine. I want to thank everyone for their questions on the phone today and for their nice comments to Mark. We will miss Mark. And Mark, again, we wish you the best of luck. I want to thank you for joining the call today and we look forward to seeing you -- speak with you soon and seeing you at our Investor Day in June. Operator, go ahead and replay the instructions please.